Operator: All right. Welcome, everyone, to the PetVivo Holdings, Inc., 2024 Fiscal Year First Quarter Earnings Report. We will now hand over to John Dolan and take it from there. Thank you.
John Dolan: Thank you, operator. Greetings, and welcome to the PetVivo Holdings first quarter of fiscal year 2024 financial results conference call. My name is John Dolan, the Chief Business Development Officer and General Counsel at PetVivo. Today's call is being webcast and will be posted on the company's website for playback. Before we begin, I would like to remind everyone that comments made during this conference call by PetVivo's executives may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections, or other characterizations of future events, including financial projections or future market conditions, is a forward-looking statement. PetVivo's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. PetVivo assumes no obligation to update any such forward-looking statements. PetVivo filed its earnings release and Form 10-Q with the SEC today, which provide a detailed discussion of our financial results. These documents can be found in the SEC website and the Investor Relations section of our website. I would now like to turn the call over to John Lai, the CEO and President of PetVivo. Please go ahead, John.
John Lai: Thank you, John, and welcome. Also joining me today is Bob Folkes, our Chief Financial Officer. I would like Bob to begin with by discussing some highlights and financial results for the first quarter of fiscal year 2024. John Dolan will provide an update on our clinical studies. And I will conclude by sharing some additional thoughts on our business strategy and key focus areas for fiscal 2024 before we open the line up for questions. I will now turn over the call to Bob.
Bob Folkes: Thank you, John, and good afternoon, everyone. Our key highlights for the first quarter of fiscal year 2024, where we reported revenues of $117,000 as compared to $58,000 in the first quarter of fiscal year 2023. Revenues for the first quarter included net revenue of $34,000 from shipments of Spryng to MWI Animal Health, a subsidiary of AmerisourceBergen, who is a leading distributor of animal health products, pursuant to our distribution and sales agreement with MWI dated June 17, 2022. We also reported revenues of $83,000 on direct sales to veterinary clinics as compared to $58,000 in the first quarter of fiscal year 2023. We added Spencer Breithaupt, a veteran in the animal health industry and former member of the leadership team at MWI Animal Health, to the company's Board of Directors. We also raised $2.1 million from the sale of the company's common stock in a registered direct offering in April 2023. And also subsequent to June 30, 2023, the company raised an aggregate of $2,325,000 in net proceeds from two offerings. On July 27, 2023, the company raised net proceeds of $550,000 in a private offering of convertible notes. And then on August 9, 2023, the company raised net proceeds of $1,775,000 from a registered direct offering of its common stock, conducted concurrently with a private offering of warrants. So we continue to invest our resources to expand our sales and marketing efforts and clinical data to gain vet acceptance and increase revenues from the sale of Spryng. And now I would like to turn the call over to John Dolan to provide an update on our clinical studies.
John Dolan: Thank you, Bob. We provided a detailed overview of PetVivo's clinical studies in our last earnings call on June 30, 2023. To summarize, PetVivo has a total of eight clinical studies in progress or that have been completed; six small animal clinical studies, i.e., canine and feline; and two equine clinical studies. We are fortunate to be working with a number of world-renowned research organizations, such as Colorado State University, Ethos Veterinary Health, and Inotiv, Inc. We anticipate that three of our small animal clinical studies will publish within the next three to four months. Furthermore, we are looking forward to the presentation of the final results of our clinical study conducted by Ethos Veterinary Health at the American College of Veterinary Surgeons Conference in October of 2023. The study is related to evaluating the benefit and tolerability of intraarticular injection of Spryng into the stifle joints of dogs with suspected partial or complete cranial cruciate ligament rupture. An abstract was presented at the Veterinary Orthopedic Society Conference in March 2023, demonstrating that Spryng is a minimally invasive management option for dogs suffering from cranial cruciate disease. The acquisition of clinical data proving the safety and efficacy of Spryng in a multitude of indications is incredibly important to PetVivo. The company plans to organize and conduct more clinical studies in addition to the ones in progress in order to expand our library of data that demonstrates the safety and efficacy of Spryng in a variety of indications. Such a library will assist our sales team to gain veterinarian acceptance in Spryng. I would like to turn it back over to John Lai.
John Lai: Thank you, John. I would like to talk more about our business strategy and key focus areas for fiscal 2024: clinical studies from Ethos and Inotiv and podium presentations to support the upcoming national trade shows, and support the MWI small animal sales team. As to date, still, the majority of our sales around 90% are in the equine space. And we have not really pushed the MWI sales reps as well as our sales reps to go after the small animal clinics. With this data that we expect to be receiving over the next three to four months, it will open up the avenue and give the ammunition that's needed. Now the podium presentations and clinical or clinician presentations will be occurring, the first one, at the ACVS in October of 2023. That is a dog study. And then, also, in November of 2023, the AAEP, we actually have multiple presentations by veterinary doctors at that conference. And that is the biggest conference in the United States for equine vets. And the first of the year, I think it's the second week in January of 2024, is the VMX. We will have presentations there. And this conference, last year, when we had two of the speakers talk about Spryng, we ended up getting 2,700 badges scanned. So we feel we will get very good traction now that we have very important data as well as literature and supporting data for the small animal vets. And then in February, we have the biggest show on the West Coast. It's the Western Veterinary Conference in Las Vegas. And we also have presentations there. So we feel these are really large potential events that will create an adoption of many of the veterinary doctors. So we had a nice little surprise about five weeks ago. There was a peer review article that showed up in Today's Veterinary Practice journal. And there was the July-August issue. And it was written by Dr. Tammy Grubb. She is recognized nationally and internationally as an expert in canine pain management. She's the President-elect of the International Veterinary Academy of Pain Management. She will be taking charge as the President. She's also an adjunct professor at Washington State University. And she's been using our product, I believe, for about two years. But in the article, she made some very important comments that will help us from the standpoint of educating veterinary doctors. One of the biggest key takeaways was she stated that Spryng with OsteoCushion technology is a frontline-use product. And the second takeaway was that dogs that have an adverse reaction to NSAIDs, which there's 83 million dogs in the United States and approximately 5% of those dogs cannot take NSAIDs, that Spryng would make a very good alternative. And if we look at it from an economic standpoint, Spryng is one of the lowest cost options if your dog can't take NSAIDs and the one with the potential for the least amount of adverse events or side effects. But I want to address the front-use product. In past calls, I talked about how, when a small animal doctor or a dog canine veterinary doctor orders our product, they have a tendency to use it as a last-resort product. They've tried everything else. The dogs -- it's not functioning, or they're not getting any types of results that would be beneficial. And they're pretty much ready to put the dog down. And then they order our product, they try it, and then they see that it's doing extremely well. The dogs gain tremendous mobility and so on. And in the mindset of the veterinary doctors, this is a last-use product that's creating amazing results. But it takes a while for them to learn. And we're in the position to really, with all this data, all this outside peer-review articles and so on, it will make it where they're comfortable in using it as first use. So the general pattern is six months, they use it as a last-resort item. Then they start feeling comfortable for the next 90 days, injecting a couple of other joints. Then after a year, they start going, I'm very comfortable with this. And then at 1.25 to 1.5 years, they actually start writing in the checkup exits, saying, hey, this dog is likely to get hip dysplasia at age seven. It's something you should keep an eye on. And at the first signs, let's talk about the use of Spryng. So it becomes a much-earlier-use product. And by Dr. Tammy Grubb making the statement that we should look at this as a frontline first-use product is very meaningful. And I'm not saying it's going to replace NSAIDs. But it is a possibility of using it in conjunction as well as, also, we have seen in the real-world application, once Spryng is introduced, the need for NSAIDs is greatly reduced or eliminated. So just to give you a clue how big the NSAID market is, in the United States, it's 385 million in the last reported year. I just saw the numbers come out -- I believe it was Grand View Research -- for 2021. So moving on from there, we're anticipating we're going to get other types of articles that will come out or journal articles. And then going forward with MWI, having all this data will help us work with MWI to increase veterinary acceptance in the small animal side. And on the last call, we talked about the turnover at MWI, and that's looking like we're smoothing that out, and things are back in line. So we're also going to be using a lot of increased social media focus. And what I mean by that is we're going to be putting up a lot of actual real-world cases using Pinterest, Instagram, and so on. Because we find the amount of veterinary texts as well as the consumers -- they're reaching out to their vets. And we've been really focusing on that because now -- we did a news release. We're in 47 states, and we're starting to pick up good-size clinics in major cities. So we're very comfortable now, having the consumer reach out to their vets. And then their vets are looking around their current area, and they're finding other vets using the product. So that will really help us. And actually, we have been getting very good results recently with our social media. So I would now like to open the line up for questions. Operator?
Operator: [Operator Instructions]. Ms. Ribble.
Unidentified Analyst: I don't know if anyone can hear me.
John Lai: I can hear you, but there's a feedback.
Unidentified Analyst: Is that better?
John Lai: Yes, much better.
Unidentified Analyst: Oh, perfect. I'm just curious like -- I know in the beginning of everything, and I'm new to this world. So thank you for putting up with my greenness. Just -- we keep talking about a timeframe when they're starting injecting smaller animals and blah, blah, blah. Just when is that exact timeframe is my -- I'm just not clear on.
John Lai: Well, right now, veterinary doctors can buy the product, okay, for dogs and cats. We haven't pushed on that side because we talked about all these clinical datas and presentations on the small animals in September, October coming out. So we feel that's a big catalyst. But in the meantime, we're seeing a lot of great results occurring in the dogs and the cat side. And in many of the larger cities, we have multiple clinics using our product. Does that help answer the question?
Unidentified Analyst: It does. And then I know you keep saying -- referring to smaller animals. But isn't the long-term intention to be on bigger animals as well or --?
John Lai: No, we started off on the equine because that's an easy market for us. Because the veterinary doctors see the results right away. While when you're dealing with small animals, they like to have the clinical data to support whatever statements we can make. Plus, when they inject a dog, they may not see that dog for a year -- or six months to a year for the next checkup before they realize how well the dog is doing. So it's a much longer time adoption for small animals, but the market is significantly larger. So there's about 10 million horses in the United States, 83 million dogs in the United States, and about 60 million cats in the United States.
Unidentified Analyst: Okay. Awesome. Thank you.
John Lai: Okay.
Operator: [Operator Instructions]. I have a raised hand from a phone number ending in 4735. Please go ahead.
John Lai: Hello.
Unidentified Analyst : Hello, can you hear me okay?
John Lai: Yup.
Unidentified Analyst : Oh, hi, John. This is .
John Lai: Hi.
Unidentified Analyst : I've got a question. You had referred to something that I'm not familiar with because I'm relatively new to this field. It was called NSAIDs or NSAIDs. What was --
John Lai: NSAIDs, yeah. So that's the standard treatment that veterinary doctor gives. It's a basically an anti-inflammatory.
Unidentified Analyst : Okay.
John Lai: So with humans, it's like --
Bob Folkes: Advil.
John Lai: Naproxen or something.
Bob Folkes: Advil.
John Lai: Advil, yeah. Thank you. Yeah.
Unidentified Analyst : Okay, got it. How do you spell that?
John Lai: The NSAIDs?
Unidentified Analyst : Yes. How do you spell it?
John Lai: Oh, N-S-A-I-D.
Unidentified Analyst : Okay. Great. Yeah, thanks. I appreciate that. You referred to it more than once, so I thought, what is that?
John Lai: Okay, no problem.
Unidentified Analyst : And do you have an update on human trials?
John Lai: No. We stated that on the human side, we'd done the necessary reviews of what the outside experts are telling us from a timetable. And then we would eventually, hopefully soon, announce our advisory team that's experts in this area, to give recommendations the path to go. Because the human trials -- so if you look at the OA market for humans on a global basis, about 240 billion a year as an addressable market. So to go through the human side, it's significantly more expensive, obviously. But we would not raise money within PetVivo Holdings. We would always raise it within the subsidiary, so it won't impact PetVivo's share structure or expenses. And actually, when we do raise money on that side, the overall operating expenses from PetVivo Holdings, the parent itself, would actually reduce a little.
Unidentified Analyst: Okay. That sounds great. Thank you.
John Lai: Yup.
Operator: [Operator Instructions]. All right. No further questions. Thank you. This concludes our conference for today. Thank you for your participation, and you can find any information on the company site.